Operator: Good morning ladies and gentlemen. Today is Wednesday, September 18, 2013. And welcome to the Butler National Corporation First Quarter Fiscal 2014 Financial Result Conference Call. [Operator Instructions]
 Your call leaders for today’s call are Jim Drewitz, Creative Options Communication; Clark Stewart, President and CEO; Craig Stewart, President of Aerospace Group. I will now hand the call over to Mr. Jim Drewitz. Mr. Drewitz, you may begin. 
Jim Drewitz: Thank you, and good morning, everyone. Before Mr. Stewart begins, I would like to draw your attention to, excepting for the historical information contained herein, the statements in this conference call are forward looking and made pursuant to the Safe Harbor provisions as outlined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties, which may cause Butler National's actual results in future periods to differ materially from forecasted results.
 Those risks include, among other thing, the loss of market share through competition or otherwise; the introduction of competing technologies by other companies; new governmental safety health and environmental regulations, which could require Butler to make significant capital expenditures. The forward-looking statements included in this conference call are only made as of the date of this call, and Butler National undertakes no obligation to publicly update such forward-looking statements to reflect subsequent events or circumstances.
 Important factors that could cause actual results to different materially from the expectations reflected in the forward-looking statements include, but are not limited to, factors described under the caption Risk Factors in the company's annual report on Form 10-K filed with the Securities and Exchange Commission.
 With that completed, I would like to turn the call over to Mr. Clark Stewart. Mr. Stewart? 
Clark D. Stewart: Thank you, Mr. Drewitz. And welcome to the first quarter call for fiscal year 2014. We appreciate you all taking your time to listen to us this morning and to ask questions if you would, please. And we want to report on the first quarter. I guess we are more excited about the first quarter than we were about completing the year with the successful recovery.
 Our backlog at this point for the corporation is running around -- as reported in the 10-Q, there's $4.9 million. Actually, as of today, it's about $5.7 million, so it's increased significantly and it’s looking better. That $4.9 million, by the way, is 21% below what it was last year. And $4.9 million is also almost 50% more than it was at April 30. So I think we’re hopefully working through the lack of business and recovering considerably in the backlog, and we should see that in the revenue and the results on the bottom line later in this quarter and definitely in the third quarter. We're in the second quarter now.
 The revenue overall was down 15% from the same quarter last year and 11% from the quarter ending April 30. Shareholders equity has been roughly even during that period of time. We’ve been able to manage to keep that close to not losing a lot of money, so it’s down 0.1% from 0.2%. Our net income was a loss for this quarter, as we expected, and compared to a profit in the quarter a year ago and a profit last quarter.
 We spent a lot of money on -- basically 50% more than we did a year ago on STC development, new product development, and we spent 15% more this quarter than we did in the quarter ending April 2013. Most of that development is in the ISR products, which is Intelligence, Surveillance and Reconnaissance, and that's better known maybe as the spy and watching business.
 Our legacy products on noise suppression and replacement parts are also a part of that. The noise suppression product we expect to show at the NBAA, the National Business Aircraft Association show in Las Vegas in October. We expect to be receiving that STC in the next 2 months. That’s a conservative estimate, I believe.
 The ISR part of this is an exciting part because as the world becomes more -- more turmoil all around the world, that surveillance and reconnaissance business is increasing and the demand is increasing and our calls are increasing. And as you can see in the backlog, the orders are coming through. So that is a good thing, and I’m excited about that, really excited about that. That's exciting stuff.
 And we've replaced some of our high cost obligations with lower-cost lines and trying to reduce our interest expense. Our casino revenues, as we talked about in the 10-Q, is up 6.5% from the quarter ended in April and down about 32% from the same quarter a year ago. Primary difference here, as you know, we went through the Phase 2 conversion last summer and added more machines, which added considerable operating costs for the first 2 or 3 years of those machines. We’re gradually working that down to where the cost will be less as we move forward. We are operating on budget at the casino, which is -- all this has been expected and planned.
 So we expect that the busing program, which has been shut down for over a year, should begin to bring patrons to the casino by October-November of this fall. We’ve got busing operators licensed, and we’ve got the program underway, and it will take that long before the people actually start showing up.
 We are working hard with the city, county and the state of Kansas to expand the hotels available for conventions in Dodge City, which will help our business in Dodge City and draw people from out of state -- more people from out of state to Dodge City. And so those are both positive things that are happening in Dodge City, and we believe that, that will benefit the casino operations and the overall economy of that part of the state of Kansas.
 If you notice, our aerospace revenue was down about 10% from a year ago and 11% from the previous quarter. This should be, hopefully, our lowest level of revenue for the year, but -- and it should start turning around as we go through the current second quarter and into the third quarter. As long as the backlog continues to hold up and build, we'll be good.
 I believe that this is the highest aerospace backlog we’ve had in about a year, which means that maybe we have suffered the bottom of the market decline that we experienced there with all the turmoil with wars and the company problems and all the other great opportunities we faced in the last year.
 With all that, I am really positive, Jim, and I am ready to turn it over for questions. 
Jim Drewitz: Great. Erika, let's go ahead and do it. 
Operator: [Operator Instructions] Our first question comes from Tony Pescado [ph]. 
Unknown Analyst: Yes Clark. In the past several 10-Qs and 10-Ks, you’ve stated that these are "challenging times" for Butler, citing a slow economy, defense spending cutbacks and so forth. Let me just bring up 3 points. Number one, the defense and commercial aerospace stocks are selling now at all-time record highs along with all-time record earnings and revenues for these companies. Number two, the casino stocks are enjoying near record earnings, and these stocks are selling at near all-time highs.
 Number three, Butler National is suffering earnings declines, actually showing operating losses. And most importantly, Butler's stock is selling below where it traded 10 years ago. Now given your repeated statements concerning your priority of enhancing shareholder value, how would you grade your execution as CEO? And why do we seem to be the only ones in both of our respective industry groups that are facing these "challenging times"? I'd like to hear your response. 
Clark D. Stewart: Tony, let's address the casino stocks first. We are a brand new casino in a brand new gaming state, and the regulatory situation here was -- is a learning process. It’s much like New Jersey was when it opened years ago. And that situation has not provided the most flexible ability to do much true long-term planning of it until we get worked through the regulatory problems. We are working through that, and we should see the results of that in the next couple of years. But it took 10 years in New Jersey, they tell us, so we don’t -- we hope it would be faster than that here. On the defense side, we got behind the 8-ball with the Beechcraft bankruptcy, and we didn’t react quick enough, I think, to the decline. What we didn’t realize was that they were going to have no orders for a while. They are now promoting the company and promoting customers, which is good, which helps us a lot, and we are helping them do that. So that’s the situation there. True, we have earnings losses, and that's the reason. And why it’s below 10 years ago, I can’t help you on that one because really, we financed the stables many years ago and got too many shares of stock outstanding. And we really should do a reverse split someday, but the shareholders really don’t want to do that, so that’s okay with me. So I guess, if you look at all those things, I think we've weathered the storm probably better than we would have expected. So I don’t know that, that’s the answer you want, but that’s where we are coming from here. And we are positive on where we are going. I think we've got more opportunities now than we’ve ever had. 
Unknown Analyst: No, Clark, it was an honest answer, and I do appreciate it. 
Craig Stewart: And Tony, real quick, this is Craig. I wanted to add something on the -- from an aerospace side of things. I think one of the things that really hurt us with the Beechcraft bankruptcy was that a large amount of our aerospace business was tied to King Air modifications. We've since worked very hard to diversify away from being completely Beechcraft products from a modification standpoint. We worked hard on the Hutch kits and some other items as well that we’re working through right now. But I think what we’re seeing is that Beechcraft is having a lot of success in their sales and marketing program right now, and it’s resulting in a lot -- in an upturn in our ISR business on the Beechcrafts. But additionally, we’re looking to make sure that if there is a downturn with one of our primary aircrafts that we’re dealing with, that we don’t suffer as bad as what we suffered this time. 
Clark D. Stewart: And we’re doing other things, Tony, that I didn’t mention. And that is we’ve undertaken a project to get our Tempe operation ISO9100 -- ASO, I guess -- AS9100. I’ll get the right name on this. The inspection and quality control system needs to be upgraded and certified to meet the 9100 standards. We have added Avcon, and we have it through that repair station, but we need the same thing in Arizona. And we have people working on that at this point that will get that done. And we believe we can probably fill that with a lot of different kind of products when we -- not different kinds, airplane products of a different nature if we get that quality certification. And that -- we’re working on it now. It will probably take us 2 to 3 months to accomplish that. Probably 3 months, don't you think, Craig? And once we get that done, then I think we’re going to be able to support some of this ISR that we’re seeing come through the door now. We’ve got more stuff coming through the door than we can possibly do with this current level of staffing and productivity -- production availability capacity. So if we get that going like we think, we’re working on it, we’ve got a couple of outside people come in to do that. We’ve hired a new person. And those are long-term people. They are not just short term. They’re there for at least a year or better. So I think we’ll have good luck there. I’m excited about that. That’s a real opportunity. So sorry to divert that question so much, Tony, but glad you asked it. 
Operator: Our next question comes from Timothy McMillan [ph]. 
Unknown Analyst: A couple of things. Any new activity or interest on the 400 acres surrounding the casino there in Dodge City? 
Clark D. Stewart: Tim, thank you for the question. I tried to answer it, and I must have not done a good job. I said that we were working with Ford County, city of Dodge City and the state of Kansas to expand the hotels available for conventions in Dodge City. The logical place to expand that, Tim, is that 400 acres. Does that help? 
Unknown Analyst: That definitely helps and takes the mystery out of it, Clark. 
Clark D. Stewart: That’s right. Thank you for asking a question. Sorry I missed that. 
Unknown Analyst: Well no, and that’s right. I think the concern with shareholders quite a bit is it seems like the future is always 6 months down the road. And today you’re -- again, you’re excited, and I’m -- I guess I’m hearing we’re looking at probably in October, November, some sizable upturn of what’s been going on in a difficult last 12 months. Is that pretty much your... 
Clark D. Stewart: That’s a fair assessment. That’s really what we think. It might happen quicker, but I’m just not ready to count those chickens yet. 
Unknown Analyst: And I know you can’t -- you’ve indicated you can’t or won’t say anything about the partners. That doesn’t mean I can’t offer an opinion. And I hope this gets done sooner than later. When you’re showing a value on the shareholders' equity of roughly $0.39 to $0.40 a share and our stock is selling at about $0.17 and not very liquid, I think there is some importance to really getting this done, and I hope it’s sooner than later. 
Clark D. Stewart: I do too. We are working on it actively. So I can’t really say much more than that. I told you that we would tell you when we got something that’s firm. But I guess the feeling is we are more firm then we were before, so that’s good, Tim. 
Unknown Analyst: Okay. So you might say you are a little further along than you were 2 months ago. Is that unreasonable? 
Clark D. Stewart: Yes. That's a fair statement. 
Unknown Analyst: That's a good statement? 
Clark D. Stewart: Yes. 
Operator: [Operator Instructions] Our next question comes from Brett Barnhill  [ph]. 
Unknown Attendee: You probably don’t remember me, but I enjoyed being able to sit in and listen to the conference call here. Thank you for the update on everything. Just a real simple question. Craig, I’ve called a few times here in the last several months to visit with you about the program we talked about, oh, a few years ago. And I was wondering if it indeed -- it is a good timing for me to make contact with you here at your convenience to talk about that? I know this is kind of off the subject, but I didn't know how else to try to make contact with you. 
Craig Stewart: You can call me this afternoon. 
Unknown Attendee: I will do so, sir. And is it appropriate to ask for the number for the phone here? 
Craig Stewart: Just use our corporate number. 
Unknown Analyst: Will do so. 
Operator: [Operator Instructions] At this time, I have no questions. 
Jim Drewitz: Clark, we are all out of pitches and all out of questions. So... 
Clark D. Stewart: Okay, I have one more statement. 
Jim Drewitz: All right, fire away. 
Clark D. Stewart: Just to remind everyone that we are going to have the Annual Meeting of the Shareholders October 15, that’s a Tuesday, at 11:00 in Olathe at the Hilton Garden Inn, not the Holiday Inn, the Hilton Garden Inn at 119th and I-35. So -- and we invite all of you to attend, anyone that wants to. We're glad to have you. We might -- we'll feed you a sandwich, talk about all this stuff some more. 
Jim Drewitz: Great, Clark. Great call. 
Clark D. Stewart: Thank you all for your time. We appreciate spending the time to talk to us about this, very helpful questions. Thank you very much. 
Operator: This concludes today’s conference call. Thank you for attending.